Operator: Welcome to the Methode Electronics Fiscal Year 2019 Fourth Quarter and Full-Year Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. For this quarterly conference call, the company has prepared a PowerPoint presentation entitled Fiscal 2019 Fourth Quarter and Full-Year Earnings, which can be found at methode.com in the Investor Relations section. [Operator Instructions]. As a reminder, this conference is being recorded. This conference call does contain forward-looking statements, which reflects management’s expectations regarding future events and operating performance and speak only as of the date hereof. These forward-looking statements are subject to a Safe Harbor protection provided under the securities laws. Methode undertakes no duty to update any forward-looking statements to conform the statements to actual results or changes in Methode’s expectations on a quarterly basis or otherwise. Forward-looking statements in this conference call involve a number of risks and uncertainties. The factors that cause these actual results to differ materially from our expectations are detailed in Methode’s filings with the Securities and Exchange Commission such as our annual and quarterly reports. Such factors may include, without limitation, the following: dependence on a small number of large customers, including two large automotive customers; dependence on the automotive, appliance, commercial vehicle, computer and communication industries; international trade disputes resulting in tariffs; changes in U.S. trade policy; success of Pacific Insight, Procoplast and Grakon and/or ability to implement and profit from new applications of the acquired technology; ability to successfully benefit from acquisitions and divestitures; customary risks related to conducting global operations; significant adjustments to expense based on the probability of meeting certain performance levels in our long-term incentive plan; recognition of goodwill impairment charges; ability to keep pace with rapid technological changes; ability to withstand business interruptions; investment in programs prior to the recognition of revenue; timing, quality and cost of new program launches; ability to withstand price pressure, including pricing reductions; currency fluctuations; ability to successfully market and sell Dabir Surfaces products; dependence on our supply chain; dependence on the availability and price of materials; income tax rate fluctuations; fluctuations in our gross margins; breach of our information technology systems; ability to avoid design or manufacturing defects; ability to compete effectively; ability to protect our intellectual property; debt levels and the effect on operations and liquidity; and costs and expenses due to regulations regarding conflict minerals. Additionally, this conference call will present both GAAP and non-GAAP financial measures. A reconciliation of these measures is included in today’s earnings release, which you can find on our Investor Relations website. I would now like to turn the call over to Don Duda, President and CEO. Please go ahead, sir.
Donald Duda: Thank you, Christine, and good morning, everyone. Thank you for joining us today for our fiscal 2019 fourth quarter and full-year financial results conference call. I’m joined today by Ron Tsoumas, our Chief Financial Officer. Both Ron and I have comments, and afterwards, we will take your questions. To start, I will ask you to turn to Slide 4. In fiscal 2019, we continued on our deliberate path to transform the company into a higher-margin business that should command a higher multiple compared to the typical automotive suppliers today. Methode has been focused on this objective for sometime, and the acquisition of a Grakon solidifies our Industrial segment, clearly setting us on a path to diversify into new end markets, expand our customer base and product line offering and reduce our automotive concentration. In fiscal 2019, Methode eclipsed $1 billion in revenue for the first time in our history, despite the decline in global passenger car production and tariff-induced headwinds, as well as the introduction of the new European emission and testing standards, all of which reduced our automotive sales by $47 million for the fiscal year compared to fiscal 2018. Through our acquisitions and continued investment in technologies and vertical integration, we have positioned Methode to become a one-stop shop for LED lighting solutions, integrated user interfaces and sensors. Today, these complimentary products, technology and manufacturing capabilities will allow us to capitalize important trends in both the Automotive and Industrial segments, safety, autonomous and electrification. OEMs are talking less about discrete functionality and more about feedback control, and this is where our sensor solutions can bring innovation and unique custom solutions. For instance, our magnetoelastic sensing technology, already deployed to provide pedal assist on e-bikes, steering assist on sport and recreational vehicles, clutch plate position and active-role control for automobiles can also be utilized to measure and manage trailer weight and towing dynamics to improve safety for both automobiles and commercial vehicles. Additionally, lighting has become one of the most critical elements for automotive and commercial vehicle OEMs to innovate and differentiate their vehicles to attract customers and drivers. Pacific Insight’s innovation and technology in RGB, LED-based ambient and direct lighting has expanded Methode’s presence within the interior, providing enhanced functionality, styling and safety. Grakon’s exterior lighting capabilities support advanced driver assistance systems. These new opportunities in interior and exterior lighting provide opportunity for market share gains across Methode. Finally, our expertise in both power distribution and automotive manufacturing allows us to meet the electric vehicle OEMs high-voltage power requirements, which are validated to automotive requirements. Combining these two expertise from a single supplier provides brand differentiating ideas and system-critical best-in-class solutions for the customer. Our innovative solutions to the EV market provide a tremendous opportunity for growth through both increased market penetration and content per vehicle. Next, I’d like to take a moment to update you on our Grakon integration efforts. As we’ve talked about in the past, one of the synergies in the acquisition was to present Grakon customers the breadth of Methode’s technologies and solutions, as their customers have been requesting to see Methode’s capabilities since the acquisition closed. We just concluded the first of – two of a number of planned Tech Days with Grakon’s commercial vehicle OEM customers. Through functioning product demos, we illustrated a broad range of Methode’s HMI, lighting, power distribution and sensor capabilities. Our Tech Day events were visited by managements, engineering, purchasing and their design studios. We also demonstrated our expertise in forward lighting and some of the potential applications of our magnetoelastic sensor technology. The Methode, Grakon team will continue with three additional onsite tech days over the summer. Finally, on this slide, as I will address more in a few minutes, Dabir passed the milestone of $1 million in revenue and we continue to make significant progress in both number of Dabir services sold and lowering the average evaluation time. Looking at the financials on Slide 5. Consolidated sales improved year-over-year 6.8% in the quarter and 10.1% for the year. In the fourth quarter of this year, non-GAAP adjusted income from operations increased 23.6% over last year. For the year, non-GAAP adjusted income from operations grew 14.6% over last year. These figures exclude expenses for initiatives to reduce cost and improve profitability and acquisition-related cost in the applicable periods. Non-GAAP adjusted consolidated gross margins improved year-over-year 210 basis points in the fourth quarter and 100 basis points for the year. This excludes expenses for initiatives to reduce costs and improve profitability, as well as acquisition-related purchase accounting adjustments in the applicable periods. Next, I’ll be referring to Slide 6, to look at the key drivers to our sales performance this year versus last year. For the fourth quarter, Grakon and organic growth contributing $55 million in sales, more than offsetting reduced vehicle production volumes that our customers impacted by the shift away from passenger cars. Fourth quarter sales were also negatively impacted by the continued late start of a major appliance program and reduced data program volumes in the Interface segment, as well as an unfavorable currency impact. Looking ahead to full-year sales on Slide 7. Acquisitions and organic growth, including new launches, contributed to $196 million in sales, again, more than offsetting the global auto slowdown and production headwinds, as well as pricing reductions and the adoption of a new accounting standard regarding revenue recognition, which affected the accounting of tooling sales. Consolidated sales were also negatively impacted by the late start of a major appliance program and reduced data program volumes in the Interface segment, as well as currency headwinds. Now let’s move on with an update on Dabir on Slide 8. As we look back on this past year, at Dabir, our revenue increased fourfold to $1 million in fiscal 2019. Additionally, our number of paying customers doubled from 8 to 16, growing to 20 already this fiscal year. We also moved from Dabir being predominantly utilized in the cardiovascular operating last fiscal year to being adopted in other areas with a hospital networks, such as general surgery, transplant, ICU, plastics, neurology and electrophysiology. Additionally, as this slide shows, our overall evaluation period has been reduced from 85 days to an average of 69 days, due to product awareness and better acceptance in the marketplace. Even as we continue to add new customers this fiscal year, we will be focused on expanding within our current customer base, as we go from the operator room to other departments and from a single hospital to the entire hospital system. Finally, the key internal measure we use to judge Dabir’s progress is a number of services sold, which has increased year-over-year five times from 79 in fiscal 2018 to 462 in fiscal 2019. Excluding controller sales and leases, revenue attributed to Surface alone has grown from 64,000 in fiscal 2018 to over 476,000 in fiscal 2019. As we noted in the release this morning, we anticipate revenues of $3 million to $5 million this year for Dabir. At this point, I’ll turn the call over to Ron, who’ll provide more detail on financial results and review guidance.
Ronald Tsoumas: Thank you, Don, and good morning, everyone. On a GAAP basis, fourth quarter net income decreased $14.2 million to $22.6 million, or $0.60 per share from $36.8 million, or $0.98 per share for the same period last year. For fiscal 2019, GAAP net income increased $34.4 million to $91.6 million, or $2.43 per share from $57.2 million, or $1.52 per share in fiscal 2018. As you’ll recall, in fiscal 2018, we incurred $53.7 million of tax expense related to U.S. Tax Reform. For the fourth quarter, tax expense increased $13.5 million, or $0.36 per share, mainly due to a decrease in investment tax credits of $8.9 million this fiscal year and a tax benefit of $3.1 million in the fourth quarter of fiscal 2018 related to U.S. Tax Reform. This resulted in an effective tax rate of 24.9% in the fourth quarter. For the full-year, tax expense decreased by $54.6 million, mainly as a result of lower tax expense of $58.5 million from last year, partially offset by lower investment tax credits of $7.8 million year-over-year in this fiscal year. The net impact of these two factors was a benefit to fiscal 2019 net income of $50.7 million, or $1.35 per share. This resulted in an effective tax rate of 11.6% for fiscal 2019. Lower than anticipated investment tax credits for the year had the effect of increasing our effective tax rate from the guidance range of 9% to 11%, which we provided throughout the year. Negatively impacted fourth quarter and full-year GAAP net income was increased intangible asset amortization, stock-based compensation and interest expenses, reduced passenger car demand and production globally and currency rate fluctuations. Full-year GAAP net income was also negatively impacted by increased acquisition-related costs, initiatives to reduce costs and improve profitability, net tariff expense and lower international government grants. Fourth quarter and full-year GAAP net income benefited from results from Grakon and lower SG&A expenses, excluding Grakon, while the full-year benefited from results from acquisitions and lower legal expenses. Moving to Slide 9. In the fourth quarter, automotive and currency headwinds provided – proved to be greater than anticipated. Additionally, sales at the very lower-end of our guidance range were a key contributor to lower results. But the lower year-over-year investment tax credits, I just discussed, were nearly as impactful. Tariff mitigation efforts and currency headwinds also negatively impacted our results. Moving to Slide 10. Non-GAAP adjusted gross margins improved 100 basis points year-over-year in fiscal 2019 and exclude expenses for initiatives to reduce costs and improve profitability and purchase accounting adjustments related to the inventory. Gross margins were negatively impacted by an unfavorable sales mix and customer pricing reductions in the Automotive segment, as well as significantly reduced sales in the Interface segment, partially offset by a favorable sales mix in the Industrial segment. Non-GAAP selling and administrative expenses as a percentage of sales decreased 40 basis points in fiscal 2019, and exclude acquisition-related costs, expenses for initiatives to reduce overall costs and improve operational profitability and long-term incentive plan accrual adjustments in the applicable periods. A main contributor to the improvement was lower legal expenses of $5.1 million. Shifting to EBITDA on Slide 11. The company generated $155 million of EBITDA in fiscal 2019, or 15.5% of sales versus $153 million, or 16.8% of sales in the same period last year. However, adjusting for expenses for initiatives to reduce overall costs and improve operational profit – profitability, acquisition-related costs and long-term incentive plan accrual adjustments in the applicable periods, adjusted EBITDA improved year-over-year to $185 million, or 18.5% of sales in fiscal 2019 versus $154 million, or 16.9% of sales in fiscal 2018. A few other financial items to review. Year-over-year, intangible asset amortization expense in fiscal 2019 increased $10.5 million, or 187.5% to $16.1 million, primarily due to amortization expense related to our Pacific Insight, Procoplast and Grakon acquisitions. In fiscal 2019, we invested approximately $50 million in CapEx, mainly to support programs and launches in North America and Europe. Expense for depreciation and amortization for fiscal 2019 was $43.3 million. Let’s move to Slide 12. Free cash flow for fiscal 2019 was $85.1 million. Our debt to EBITDA ratio, which is used for our bank covenants, is approximately 1.7 times. Moving to Slide 13. I’ll finish up my remarks with guidance. As a reminder, the guidance ranges for fiscal 2020 are based upon management’s expectation regarding a variety of factors and involve a number of risks and uncertainties, which have been detailed in this morning’s release and the Form 10-K. As we announced this morning, we anticipate fiscal 2020 sales to be in the range of $1.13 billion to $1.17 billion, pre-tax income in the range of $150.3 million to $164.3 million, and earnings per share in the range of $3.25 per share to $3.55 per share. Although we normally do not give quarterly guidance, we anticipate sales for the first quarter will likely be lower than the other three quarters due to the fact that the majority of our new automotive and e-bike program launches will not be at full production volumes. Additionally, the delayed laundry care program is anticipated to launch in our third quarter. We estimate that our effective tax rate will be in the range of 18% to 21% in fiscal 2020. The higher tax rate is due to new provisions under the U.S. Tax Reform, namely guilty and the mix of earnings from our businesses. For fiscal 2020, we are anticipating capital investment to be in the $48 million to $54 million range and depreciation and amortization to be between $51 million and $54 million. Finally, we expect fiscal 2023 cash flow to be between $122 million and $136 million. In conclusion, please move to Slide 14, to take a look at our key drivers of our anticipated EBITDA performance for fiscal 2020. Looking at fiscal 2019 EBITDA of $155 million and adding the EBITDA from new automotive and laundry program launches of about $19 million; adding EBITDA from a full-year of Grakon, which adds another $19 million; subtracting the impact of the loss of EBITDA from reduced passenger car reductions, which we estimate to be about $12 million; adding the benefit of initiatives to reduce costs and improve profitability of about $11 million; and adding one-time cost we incurred in fiscal 2019 for acquisitions and restructuring for about $29 million. Don, that concludes my comments.
Donald Duda: Ron, thank you very much. Christine, we are ready to take questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] One moment please while we poll for questions. Thank you. Our first question comes from the line of Chris Van Horn with B. Riley FBR. Please proceed with your question.
Christopher Van Horn: Good morning. Thank you for taking my call.
Donald Duda: Good morning, Chris.
Christopher Van Horn: I was wondering if you could get a little bit of detail of what you’re assuming for automotive production? Are you using, either LMC or IHS as kind of a benchmark, or we’ve heard from some other suppliers that they might be kind of handicapping that either direction based on what they see from their mix in terms of how they’re thinking about production rates?
Donald Duda: We use LMC. And probably the correct term, we do handicap that up and down based on our knowledge of the customers demand. But we, for the most part, use that. And then we’ll – occasionally, we will double-check with IHS if we see a number that doesn’t look right to us. But generally, it’s – we’re looking at LMC.
Christopher Van Horn: Okay, got it. And then so it seems like, you’ve got some visibility into the back-half of your fiscal 2020, as you mentioned in the comments in terms of, is that – do you see program launches for you on the automotive side, or is there a macro event that you’re seeing? What’s kind of driving that comment?
Donald Duda: I think, for the most part, we take a conservative approach to worldwide auto and, again, handicapping LMC and maybe we handicap it more to the negative than to the positive. But we do have the visibility of the launches. We know when the launches will come. We know what the ramp up is, like the variable there is, do they launch at the volumes that we’ve predicted. And then also we talked about – Ron talked about the delay in the laundry program that’s going to launch in October. So as we showed on the one chart, those launches contribute to our income and EBITDA for the year, although, again, more in the second, third and fourth quarter than in this for the first quarter. We’ve also built in a decline in Class 8 sales in the second-half of the year.
Christopher Van Horn: Okay, got it. Very helpful. Thanks for that color. And then, obviously, tariff, you’re assuming some tariffs in your guidance here. Maybe you could highlight, what are your mitigation efforts there, if at all, or do you intend to pass along some of that to the end customer? How do you see the tariffs playing out assuming it actually happens?
Ronald Tsoumas: Well, I mean, from a – Chinese tariffs were there. I mean, we built in 25% and that equates to about $8.5 million. We have – we are sharing some of the expenses with our customers and we’ve provided them a mitigation plan, some of which is just shipping into Mexico for Mexico production versus shipping into the U.S. and then transferring to Mexico, and then some of it is using our other plants for manufacturing. And when we’re in the, I would say, the trial period of various shipments and gets fairly complicated from a tariff standpoint of what constitutes material transfer – transformation. So we’ve communicated with our customers. Here’s what we can do for you. Here’s the timeframe. And if we can do it center of that $8.5 million, will be reduced obviously, if China and the U.S. come to terms, that’ll help also.
Christopher Van Horn: Okay, got it. And then last for me. Just on capital deployment, obviously, you’re generating some decent free cash here. And just curious – I know, you paid dividend. But have you considered buybacks and anything else you’re considering from a capital deployment standpoint?
Ronald Tsoumas: I think, we always do look at our various options and discuss that with the Board. Our preference right now is to pay down debt…
Donald Duda: Yes.
Ronald Tsoumas: …and we have the capability of doing that. So that would probably be the number one deployment. I don’t rule out another acquisition if one came about. But right now, the main uses, obviously, our capital uses to support our businesses and our program launches, but – and the dividends. But we’re focusing on debt reduction.
Christopher Van Horn: Okay. Thanks so much for the time, guys. I appreciate it.
Donald Duda: Yes. Thank you, Chris.
Operator: Our next question comes from the line of Steve Dyer with Craig-Hallum. Please proceed with your question.
Ryan Sigdahl: Hey, guys, it’s Ryan Sigdahl on for Steve.
Donald Duda: Good morning.
Ryan Sigdahl: To start, what does revenue guidance imply for organic growth? And then secondly, given the challenging automotive environment, what gives you the confidence to significantly outperform that? I know the EBITDA bridge shows new awards and whatnot, but a little more color, that would be helpful?
Donald Duda: Sure. I mean, the bridge shows $19 million of our organic growth, that’s what we’re anticipating. But to the question, what gives us confidence in, let’s call it, our legacy auto business. I mean, we do have the benefit of re-leases from the customer. We know the launch schedules are. Could there be a further decline in Europe? Yes. I mean, that – when you’re looking out, you’re fairly confident in your first three months, the second three months get a little fuzzier, and then the second-half of the year that, it could be up or it could be down. So I don’t know if we can add any more color to the math. We tend to be conservative, but we saw in our fourth quarter that our European revenues were down further than we thought they would be.
Ronald Tsoumas: And that’s been baked into the – to the forecast for this year, so.
Donald Duda: Yes. And if I – if you’re a revenue guy and I’m, I can take the fourth quarter and you take all the noise and you multiply it by four, it is okay, that proceeds were not there completely, but we’re getting there. And then I’ve also got the benefit of looking at the first quarter. So based on that, we’re confident in the numbers that we put out in guidance.
Ryan Sigdahl: Then, as it relates to GM’s truck and SUV platform, transitioning from K2 to the T1, any thoughts there, I guess, based on what you’re seeing from current forecasts on? Is that a flattish type production this year, or do you think that can grow?
Donald Duda: In an area that I really have to be careful, because now I’m talking for the customer and wee can’t do that. So I would refer you to what GM has put out. I really can’t go any further than that.
Ryan Sigdahl: Fair enough. As it relates to EBITDA, the bridge on Slide 14 is very helpful. So I appreciate that. By my math, based on the other guidance, that implies kind of the midpoint of guidance assumptions. Is it $221 million? If I recall correctly…
Ronald Tsoumas: Yes, that’s correct.
Ryan Sigdahl: Okay.
Ronald Tsoumas: Yes.
Ryan Sigdahl: If I recall correctly for accrual accounting for the long-term incentives, it requires at least 75% confidence in achieving that. Is that correct? And then does that kind of imply the midpoint is on – fairly on the conservative side, I guess, based on that 75% confidence level?
Ronald Tsoumas: Yes. It’s actually – the good question is, 70% confidence level that Don and I have to attest to, to the target number of 221. And for the accrual purposes for the accounting rules, that’s where the plan is capped out, and that’s what we accrue true on the long-term incentive accrual. So that’s why we just maintained it.
Ryan Sigdahl: Great. I’ll leave it there. Thanks, guys.
Donald Duda: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of David Leiker with Robert W. Baird. Please proceed with your question.
David Leiker: Good morning, everyone.
Donald Duda: Good morning, David.
David Leiker: I want to start with a comment you made about the quarterly pattern and thanks for sharing it. If – what I heard – if I heard – what I heard is correct, you’re saying your Q1 revenues are going to be the lowest revenue number for the year, is that right?
Ronald Tsoumas: That’s correct. [That can jump beyond launches.]
Donald Duda: Right.
David Leiker: Yes. Well, Q1 is going to also benefit from Grakon where…
Ronald Tsoumas: I’m sorry, David. Go ahead.
David Leiker: Grakon sales, I mean, is going to be added into that number versus last year as well though?
Ronald Tsoumas: Oh, sure. Absolutely.
David Leiker: Okay. Well, I cut off what you said.
Ronald Tsoumas: Q1 tends to be one of our slowest quarters.
David Leiker: Right. Okay. That’s why I just wanted to make sure I heard that correctly. And then as we look at this – the laundry program, is this the timing of this? It’s been – it seems to be a little bit of a moving target. How confident are you that that’s going to hit when you’re thinking it’s going to start to hit?
Donald Duda: Yes, that’s a very good question, because it’s been delayed in the past. We’re starting to see a movement towards launch. There’s – here you start to see releases and meaningful footprints to the customer hitting their projected launch day, which I think is October. So that doesn’t mean, it doesn’t change. But we’re starting to see positive signs. So let’s put it that way.
David Leiker: And you’re at a point right now where you’re ready to go. They just have to say, start shipping, right?
Ronald Tsoumas: Absolutely.
David Leiker: Okay. And then you also dropped in there on the Interface, a commentary about some of the legacy data products. You talked a little bit about what’s going on there. What’s the size of that? What’s the run off or impact of that??
Ronald Tsoumas: It’s one gig transceivers, which I’ve been under tremendous price pressure for three, four or five years, if not longer. Ultimately, that will wind down, and we’re seeing slower sales. And then we thought maybe even a year ago, 10 gig is improving, but not enough to offset the one gig product. So it’s note worthy, it’s not going to make or break the year, but it was just worthy for commentary.
David Leiker: Can you give us some sense of scale of how large that is for you right now?
Ronald Tsoumas: The two combine about $15 million in sales annually.
David Leiker: That one in the 10 combined?
Ronald Tsoumas: Yes.
David Leiker: Okay.
Donald Duda: Variable, but it could go to $12 million or $10 million.
David Leiker: Okay. And then when we look at your sensor business, how large is that today in terms of the revenue contribution for you when you take the whole portfolio of sensors?
Ronald Tsoumas: $40 million. They’re going to in 2022 $80 million some – $85 million…
Donald Duda: Yes. And we anticipate actually will go higher to $200 million.
Ronald Tsoumas: Yes.
Donald Duda: What we said.
David Leiker: Okay. And then what – you didn’t make any comments about any new contract wins or anything Any color you can offer there?
Donald Duda: It’s been relatively slow and we kind of anticipated that we have some very good booking early in 2019. And I don’t want to say that the automakers are in reuse mode. But that’s potentially why we’ve seen less large – or excuse me, we had bookings, but not enough that we wanted to comment on. We’d have low like this before. One thing, I’d comment on is, our move in the lighting and our EV business has really allowed us to expand our vehicle content. I often say, we don’t really measure ourselves by what the SAR is doing. We measure by what program is done and what our content is. I’ll give you two examples. I can’t name the customers. But if we were just looking at HMI business, we’d be in – the one customer would be in about the $60 per vehicle content. And you start to add EV and lighting to that and we’re over $122 million in book business, that’s the European customer. We got another European customer very similar going from $26 per car to $96. So our expansion in lighting and in our prominence in EVs is definitely helping us with our dollar content per vehicle, but, again, nothing to speak this quarter.
David Leiker: Okay, great. That’s all. Thanks.
Donald Duda: Thank you, David.
Ronald Tsoumas: Thank you, David.
Operator: Thank you. It appears we have no further questions at this time. I would now like to turn the floor back over to Mr. Duda for closing comments.
Donald Duda: Christine, thank you very much, and we’ll ask – thank everyone for participating today. Have a good day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.